Operator: Welcome, and thank you for standing by. At this time, all participants will be in a listen-only mode. After the presentation, we will conduct a question-and-answer session. (Operator Instructions) Today’s conference is being recorded. If you have any objections, you may disconnect at this time. I will now turn the call over to Senior Vice President and Chief Financial Officer, Steve English. Sir you may begin.
Steve English: Thank you, Christy. Good morning, and welcome to our Third Quarter 2013 Earnings Conference Call. Today, I’m joined by our Chairman, President and CEO, Bob Restrepo; Joel Brown, Senior Vice President of Standard Lines; Jessica Buss, Senior Vice President of Specialty; Chief Investment Officer, Scott Jones; and our Chief Actuarial Officer, Matt Mrozek. Today’s call will include prepared remarks, after which we will open the lines for questions. Please note our comments today may include forward-looking statements, which by their nature, involve a number of risk factors and uncertainties which may affect future financial performance. Such risk factors may cause actual results to differ materially from those contained in our projections or forward-looking statements. These types of factors are discussed at the end of our press release, as well as in our annual and quarterly filings with the Securities and Exchange Commission to which I refer you. A financial packet containing reconciliations of certain non-GAAP measures, along with supplemental financial information was distributed to registered participants prior to this call and made available to all interested parties on our website www.stateauto.com under the Investors section as an attachment to the press release. Now, I’ll turn the call over to STFC’s President, Chairman and CEO, Bob Restrepo.
Bob Restrepo: Thank you, Steve, and good morning, everyone. Results for State Auto continue to improve for the quarter and year-to-date on both ex-catastrophe and all-in basis. The only real exception is our personal auto line which continues to perform below expectations. And the third quarter results were affected by PIP liability losses, higher than average physical damage loss ratios and unprofitable results in five states, which accounts for 14% of our premium volume. We are pricing an agency management actions already implemented in the states of Arizona, Colorado, Georgia, Illinois and Michigan. The other 23 states were we write personal lines are performing very well. We expect improved performance in this important line as our pricing and agency management actions earn out. Homeowner results continue to improve and we’ll finish with the year with the strong underwriting profit. Results from mask to fit by our homeowner quota share treaty which is performing as expected, but does hurt our bottom line in the short-term. In the third quarter, elevated our combined ratio by 3.5 points. For the year, our combined ratio increased 2.4 points as a result of the treaty. We’re also very pleased with our business insurance results, which continued to improve. The underwriting discipline, claim improvements and high single digit price increases are all contributing to improved results. Production remains good resulting from price increases, larger new business accounts and economic growth. Joel Brown will comment on our standard lines, personal and business insurance results in more detail shortly. Specialty insurance results also continued to improve and remain excellent excluding the impact of the RED runoff. Our E&S property results were exceptionally good in the quarter, driven by no hurricane losses and a reinsurance recovery from the prior quarter. E&S Casualty results were good with accelerating growth coming from the addition of new underwriting talent. The Programs unit will improve this RED runs-off and as we grow earned premium from five new programs which we booked last year. And lastly Workers’ Compensation results are quite profitable and our performance significantly exceeds industry results. We’re definitely benefiting from our niche within a niche strategy which focuses on attractive states for more classes of business and our focus on the small count and debit mod markets. We have a state-of-the-art claim capability and are achieving high single digit price increases. All this contributes to superior results. Jessica Buss will comment on Specialty insurance results following Joel’s comments. Our performance in each of the segments contributed to substantially improved results this past quarter relative to last year and our year-to-date results which are well ahead of 2012. We’re seeing a higher price increases in all segments, more normal weather patterns and the runoff from RED. Our combined ratio for the quarter was 101.4% and is 100.7% for the year, setting aside the impact of RED and the homeowner quota-share treaty, our third quarter combined ratio is 96.7% for the quarter and 97.8% year-to-date. Third quarter net income was $0.45 a share, with $0.33 a share coming from operations. Year-to-date STFC’s net income was $1.09 a share with $0.84 a share coming from operations. All this contributed to an increase to book value of $0.54 a share. The quarter-end book value of $18.07 a share includes a reduction of $2.47 a share to the deferred tax asset valuation allowance. Our trailing 12-month return on equity result was 8.9%. And with that, I’ll turn you over to Joel Brown. Joel?
Joel Brown: Thank you, Bob. Standard Lines continues to show overall loss ratio improvement on both a quarterly and a year-to-date basis. Personal auto produced a loss ratio of 69.7%, compared to 65.5% for the same period in 2012. Year-to-date personal auto was at 67.4% compared to 66.1% for the first nine months of 2012. For the quarter, three key factors impacted the loss ratio; personal entry protection coverage added 1.2 points and a deteriorating physical damage trend accounted for an additional 1.1 point. Additionally, we are aggressively dealing with the five states that Bob mentioned previously, which are having a disproportionate impact on loss ratio. A multifaceted strategy including aggressive rate is in place to improve results in these five states. The majority of our other 23 states which account for 86% of the written premium are performing well. We’re addressing all states and all lines of auto business with rates. Rates increased in the third quarter and we’re on track to produce a price change exceeding 7% for the year. Rates are out-distancing flat loss trends and the earned premium impact on personal auto is projected to be over 6% in the fourth quarter. Consequently, margin improvement is expected going forward. Written premium for auto was down 1.9% for the quarter, impacted by the agency management actions which are a part of our homeowners’ improvement plan. Our aggressive homeowners’ actions are producing profitable results. The loss ratio was 43.8% for the quarter. This result is higher than 29.5% in the third quarter of 2012. The difference in the quarter-over-quarter results are due to last year’s third quarter cat loss ratio of negative 5.1%. Through nine months, the improvement loss ratio is 5.9 points and our homeowners’ line is profitable year-to-date. We have benefited from a return to more normal catastrophe experience this year, but the non-cat loss ratio improvement of 4.4 points is driving the profitable result. Continued rate and the local actions we’ve talked about in previous calls including geographic redistribution bi-peril rating, implementation of aggressive all-peril and wind/hail deductibles, and agency management are having the expected impact. Rate changes will exceed 13% this year and the all-in price impact of rate change, insurance to value and inflation guard will be approximately 20%. Our price is well in excess of loss trends. Written premium growth for the quarter was 2.6% and is 5.1% through nine months. The written premium increase is due solely to price increases, as overall policies in-force are down for the year. Our business segment is showing modest premium growth. For the quarter, the loss ratio improved 2.7 points. Year-to-date the loss ratio was 56, which is 8.9 points better than 2012. Both cat and non-cat loss ratios are contributing to the overall improvement. Rates as measured by price per exposure increased 7.7% for the quarter and are up 7.5% through nine months. The Commercial auto loss improved 6.8 points, compared to the third quarter of 2012 and 1.5 points on a year-to-date basis. Pricing for auto is in excess of loss trends, and is up 6.6% for the quarter and 6.4% year-to-date. Commercial auto written premium increased 15% for the quarter and 1.1% year-to-date. Policies in-force are flat with growth coming from price, exposure increases and the writing of larger accounts. The Commercial multi-peril loss ratio was 55.3% for the quarter and 62.6% through nine months. This compares to 2012 loss ratios of 53.6%, and 72.5% for respective periods. The improvement results on a year-to-date basis, is due to improving cat and non-cat loss ratios and a reduction in large losses. Pricing is up over 9% in our business owners’ line for the quarter, and 8.7% through nine months. Total Commercial multi-peril written premiums are up 12.9% for the quarter and 13.5% on a year-to-date basis. Policies in-force are flat through the first nine months, as with auto growth is due to price and larger premium accounts. The loss ratio for other product and liability was 54.7% for the quarter and 53.6% year-to-date. Pricing increased 7.7% for the quarter and 7.4% for year-to-date. Pricing is in excess of loss trends. I’ll now turn it over to Jessica Buss to discuss Specialty results.
Jessica Buss: Thanks Joel. My comments today will follow our Specialty insurance segment reporting, which is broken into E&S Property, E&S Casualty, Programs and Workers’ Compensation. Our overall Specialty loss ratio 62% decreased 46.7 points for the quarter attributable to continued significant performance improvements in our Program and Workers’ Compensation business and a property unit reinsurance recovery. In Specialty, we continued to see affirming market with rate improvements year-to-date in the mid-single-digits. Net written premiums quarter-over-quarter decreased 10.1%. Production was strong in our specialty unit, but was offset by premium decreases in the terminated RED accounts that are now in runoff. The E&S Property and Casualty units continued to produce strong profit and growth. We had a solid E&S Property in non-cat loss ratio for the quarter of 14.4%. Including catastrophes, the loss ratio for the quarter is a negative 3.6%, primarily due to a revised estimate on a reinsurance recoveries associated with the hail loss incurred in the second quarter of 2013. We continue to see a positive rate environment in the third quarter with a year-to-date rate increase of 6.5% driven mostly by our wind-only business. Property catastrophe reinsurance rates continue to decline and with new reinsurance capacity entering the markets and a lack of material hurricane activity, we believe pressure on property rates will intensify in the fourth quarter. Third quarter premium growth of 34.8% was driven by a property book rollover and business from new distribution partners. The E&S Casualty unit also performed well with a profitable quarter-to-date loss ratio of 57.9% which exceeded the same period of 2012 by 3 points due primarily to a surety loss and a shifted our casualty business mix, but is still performing as expected. E&S Casualty growth in the quarter of 6.2% was attributed to organic growth in our umbrella in General Liability business. We continued to invest and building scale in our E&S businesses through technology, improved broker relationships and best-in-class underwriters focused on niche products, which is evidenced in our results year-to-date. Our Program unit showed significant improvement in the third quarter, as the runoff business previously written by RED had a smaller impact on results and our new Specialty programs with more favorable loss ratios continue to earn out. In addition, we had a year-to-date loss ratio improvement of 10.4 points in our largest active program. This is reflected in a loss ratio improvement of 64.4 points for the quarter and 24.2 points year-to-date. We are very pleased with the rate increases that we are experiencing in this unit of 4.3% which exceeded loss cost trends. Our largest program achieved a 10.5% rate increase. We continue to build better Programs unit focusing on small to medium programs with MGUs having proven track records in terms of profitability and distribution. We have achieved quarter-to-date growth in each program and expect continued improvements as the impact of RED runoff business diminishes. Results in the third quarter for our Workers’ Compensation business continue to be better than expected and substantially outperformed the industry. Our niche within a niche strategy of writing Workers’ Compensation business with a specialty focus in select states and classes has significantly improved results year-to-date. Our Workers’ Compensation books finished the quarter with a 63.7% loss ratio, outperforming the same period of 2012 by 26.8 points. Our current quarter’s results were aided by affirming price environment and favorable development on prior accident year reserves. We achieved an overall rate increase of 7.9% on our Workers’ Compensation business year-to-date, which is an excess of loss cost trends. Year-to-date growth of 1.1% was focused on our targeted states and classes, and mostly driven by rates. Approximately 86% of our business is written in states which we have determined are historically profitable and attractively based on company and industry results, statutory and compliance environments, claims data, market potential and enterprise footprint and strategy. We anticipate continued solid underwriting profits from our niche Worker’s Compensation strategy, which focuses on accounts under $10,000 and are traditionally profitable debit mod business written by RTW. And with that, I will turn you over to Steve English.
Steve English: Thanks Jessica. As Bob mentioned, our book value per share is up $0.54 this quarter, driven by earnings and investment valuations for our equity securities and other invested assets, which are carried for value and includes our investment in international equity funds. Fixed maturity valuations did fall as rates rose in the quarter. The duration of STFC’s fixed maturity portfolio was 4.8 as of the end of the quarter. TIPS, CPI adjustments which are recognized in investment income, account for quarterly fluctuations on a sequential and year-over-year basis. As was discussed last quarter, our net deferred tax asset has increased throughout the year for bonds with unrealized losses that we have the intent and ability to hold to maturity, there has been no change in our views regarding the allowance since last quarter and we do not anticipate the reversing the allowance in 2013. Our trailing 12-month ROE for September 30, 2013 was 8.9%, while the prior year comparable it was 13.6%. As a reminder the prior year ROE includes a couple of non-recurring items from the fourth quarter of 2011. That quarter included an unusual tax benefit in the amount of $35.7 million, caused by the tax accounting exception we discussed in 2011, the year the allowance was established. In addition, a $14.9 million post-retirement benefit curtailment gain was recognized as a result of our decision to no longer offer retiree health benefits to certain retirees and associates. Finally, Joel briefly commented on our business insurance net-written premium growth which on a reported basis was 0.9% in the quarter, compared to 12.5% growth through six months of this year. We previously discussed this, but again as a reminder, we made a change to our reinsurance effective July 1, 2012. We previously ceded umbrella premium under our quota share treaty and since that date this business has been subject to our casualty excess of loss treaty. Net written premiums in the third quarter of 2012, includes a $7.2 million unearned premium transferred back to us in connection, terminating the former quota share treaty. And with that, we’d like to open up the line for your questions. Christy?
Operator: Thank you. (Operator Instructions) Please standby for our first question. First question is from Paul Newsome with Sandler O’Neill. You may begin. Mr. Newsome, your line is open. Please check your mute button.
Paul Newsome – Sandler O’Neill: Sorry about that. Can you hear me?
Bob Restrepo: Yes, we can hear you, Paul.
Paul Newsome – Sandler O’Neill: My apologies. I guess I am still figuring out the phones. Thanks for the call. I want to ask – it looks like you’ve got the home insurance business turned around, which is awesome. Do you think you are kind of where you need to be yet, and would you – this is – I guess could you talk about ultimately potentially reversing the reinsurance treaty or at least getting off of it and getting back to sort of a fully normal home insurance type structure if that’s in the cards, or you obviously – maybe you can just kind of talk to the issue?
Bob Restrepo: Yes, Paul let me start off and kind of paint a picture of where we are. I’ll ask Joel to talk about where we see ourselves going over the next 12 months, and then Steve can talk about our preliminary planning regarding the quota share treaty, which is – will continue through 2014. In terms of where we are right now, we’re still not where we want to be. We’ve had significant improvement, but we expect that the earned premium rolls out over the next 12 months or so our, ex-catastrophe loss ratio will continue to improve and we were – we’re pretty much on plan of where we – the kind of improvement we expected in our ex-catastrophe loss ratio result this year in the 5 to 6 point range. Fourth quarter is usually our best quarter, so we expect continued improvement throughout the rest of this year. The price increases that Joel talked about the 20%. As they roll into next year, we expect continued improvement next year. Our rate indications had declined a bit, but are still – we’re still looking for some rate increases, but not to the extent that we’ve had in the past. So we do see the light at the end of the tunnel and we do see an opportunity next year to get back to our traditional marketing model, which is selling on a total account basis particularly focusing on what we call the Prime of Life market now. I’ll ask Joel to comment on that and what we see for next year.
Joel Brown: Okay, thanks Bob. We do believe that our homeowners’ book is now at rate adequacy. We look at our pure premium trend which is relatively benign. We have our new policy conditions and deductibles in place across all states. We have seen a dramatic redistribution of our book of business as we’ve intentionally decreased TIF in our worst performing states by over 25%. So as we look at next year 2014, we’re looking at stabilizing our overall book of business and beginning to grow accounts through our Prime of Life, which again concentrates on insured 45 to 65, responsible credit scores of both the auto and home. So we do feel most of the fix is behind us, Paul, and we look forward to stabilizing and beginning to write account business again in all of our states.
Steve English: Paul, this is Steve. In terms of the existing quota share treaty, by contract it will run through the end of 2014. There is no early opt-out provisions of any sort in that contract. We just met with our board and reviewed the status of that. And if you revisit the reasons why we entered into the contract to begin with, it was looking at capital protection and catastrophe loss protection. And of course in the last two years and by the time we get to the end of the 2014, we believe we will have reshaped that homeowners’ book from a risk perspective. So at that juncture, it becomes a view of where we feel we are from a capital perspective. Group capital as of 9/30/2013 has grown to $1.13 billion and we’re up in the public company the statutory capital is sitting at 6.85. So that’s up about $54 million since the beginning of the year and we did take out $10 million and move it to the holding company level this year. So it’s really from an all-in perspective it was up $64 million. So what we’ll be doing is looking at our opinion of where we are from a capital perspective and may look – certainly that treaty is going to expire. We would then look to whether or not we want to redeploy any of that into maybe an earnings protection type vehicle one that’s not necessarily geared towards providing explicit capital protection. At this point, that’s really all I can share with you.
Paul Newsome – Sandler O’Neill: That’s great. I’ll re-queue and let some other folks ask questions.
Operator: Our next question is from Larry Greenberg with Janney Capital Markets. Your line is open.
Larry Greenberg – Janney Capital Markets: Hi, good morning. I was just wondering if we could dig a little bit deeper on auto – personal auto and understand does this quarter represent a real setback in your view and the recovery of that line? Listening to Joel’s comments about the earned premium, that’s going to flow through in the fourth quarter, and an expectation of underwriting improvement. I thought that was kind of a message last quarter for the third quarter. So I’m just trying to understand the dynamics at work here. Could there have been some PIP preserving that, that impacted the reported ratios and underlying trends, haven’t changed that much. If you could just go into that a little bit more.
Bob Restrepo: And I’ll ask – Larry, this is Bob Restrepo, I’ll ask Joel to provide more color, but when we look at third quarter results on a stand-alone basis, we think it is a blip. It performed higher than where we’ve been trending and the trend has been pretty flat what we’ve been looking for improvement over the trend and we saw some deterioration this year, primarily due to things that we think are one-timers related to PIP and uptick in property damage which is running hotter than what we think. And we think that’s a temporary. I think what we’ve been frustrated by is that the fact that our pure premium trends in the aggregate have flattened. We are getting price increases and we just haven’t seen the margin improvement. Again the deterioration we saw this quarter we think is a bit of a blip, but what we’re really looking for is improvement, a longer term improvement, sustained improvement and we have not seen that yet.
Joel Brown: Larry, this is Joel. I’ll speak specifically about the five states that Bob alluded to, because those did have a disproportionate impact on our loss ratio. They are smaller states, they were those states that we have been working on and addressing through rate and other actions all the year, but collectively that group of five states results – the poor results accelerated this quarter. We have price in the system already and we’ll be continuing to be aggressive with price. Well we’re underwriting specific agents and parts of the books of business from those five states and we’re also employing agency management actions. We’ve already terminated some agents and we’ve got folks in runoff. So those five states which again represent just 14% of our premium, we expect to have under control fairly quickly and then we expect to see the positive results and margin improvement. That would be indicated based upon our loss trends in our premium gains.
Larry Greenberg – Janney Capital Markets: So when did the agency action in these five states begin?
Joel Brown: We’ve been active with that all year. Probably second quarter, we specifically got active in Michigan. Michigan is not only driving our core results, but they are contributor to our PIP results since they represent 39% of the PIP. So we’ve been extremely active in that state.
Bob Restrepo: And there is a lag when we – there is usually six months, Michigan might even be longer. So we really won’t see the full impact of the agency actions until probably 2014, but we do expect some improvement from the pricing actions.
Steve English: And as we’ve slowed new business dramatically, we expect improvement from that as well.
Larry Greenberg – Janney Capital Markets: Okay. And then my normal questions which Steve always cringes that.
Bob Restrepo: He is cringing as you speak.
Larry Greenberg – Janney Capital Markets: Can you quantify any reserve development in RED or anything specifically associated with Michigan PIP?
Steve English: Not on Michigan PIP. I will speak to your RED question. And let me process it with a little commentary, because certainly the two largest programs that were in that RED runoff is the transportation trucking program, the restaurant hospitality program. So just as a reminder, the trucking program, we stopped writing new policies in April of ‘12. And on the restaurant program, we have stopped writing policies effectively here in 2013. So, certainly as time is marching on, we’re getting more and more comfortable and confident in the numbers. Of course the trucking losses emerge a little faster and develop quicker than the restaurant losses due to the difference between trucks and liquor liability. So having said that consistent with some of my commentary earlier in the year, we have been putting up pretty aggressive loss ratios on the current action here, somewhere near a 100%. And the adverse development that we did book this quarter was $2.3 million on the prior business. So that’s running through the quarter and that’s $5.4 million year-to-date.
Larry Greenberg – Janney Capital Markets: Great. And then in the expense ratio where you referenced accruals for contingents and other incentive comp, was there any catch up in that from the first half of the year?
Steve English: Yes, there is. And there is actually two things going on there. In the third quarter, a year ago when we established the large charge on the RED business, through six months a year ago not anticipating that that was going to happen, we had set certain six month accruals on those programs. And then we’re revising those adjustments downward in the third quarter a year ago. Now in the current year, certainly as we got through June and we were looking forward, we did not anticipate quite honestly that the third quarter property results would be as good as they were. So there is a bit of a catch up in the current year for that reason and then there is a – the opposite kind of effect happening in the prior year. So really I think as you look at the year-to-date ratios, it is a bit more indicative of how we’re running on a year-over-year basis as opposed to the quarter-to-quarter.
Larry Greenberg – Janney Capital Markets: Okay, thanks.
Operator: Our next question is from Brett Shirreffs with KBW. Your line is open.
Brett Shirreffs – Keefe, Bruyette & Woods: Hi, good morning everyone.
Bob Restrepo: Good morning, Brett.
Steve English: Good morning.
Brett Shirreffs – Keefe, Bruyette & Woods: I want to hit the auto again. I was wondering if your strategy in homeowners over the last couple of years has impacted your customer mix at all on the auto book?
Bob Restrepo: Again, Brett this is Bob Restrepo. I’ll let Joel comment on it in detail, but the short answer is no. When we look at our risk profile in the auto books, if anything, we think it’s somewhat better notwithstanding the five states that Joel addressed. So when you take this kind of action you’re always concerned and mindful and monitor adverse selection, but we have not seen that, if anything as I said I think our risk profile is improved somewhat.
Joel Brown: This is Joel. Our agents do a great job of cross-sell. So there have been times when we’ve lost the homeowners policy, due to our actions, we’ve lost corresponding auto. However as we evaluate our profile, we’re seeing less violation activity on new business. We’re seeing better credit scores. We’re seeing newer vehicles. So actually our new premium is actually down a little bit because we’re writing better overall business which we expect to have a better loss results going forward. So to Bob’s point, we’ve really seen a slight improvement in our overall profile. And historically, we’ve always had a strong profile based upon what I mentioned earlier that conservative demographic which we call Prime of Life.
Bob Restrepo: The thing I would add to that is part of our strategy is always been to diversify geographically and to have above average growth rates in states that are not as vulnerable to the weather. And as we’ve grown some of those states, we’ve grown it with new prices and retrospective prices were not adequate in those states and that’s definitely contributed to poor results that we have in those five states and that’s what we’re addressing now. They are less matured states. The pricing was less mature and the results and retrospect are not what we expected when we rolled out those new prices. So that’s what we’re addressing.
Brett Shirreffs – Keefe, Bruyette & Woods: Okay, that’s very thorough. And then some other players in the auto market have talked about potentially getting more competitive and trying to grow more aggressively. I was wondering if you’ve seen any changes during kind of competitive environment for personal auto really?
Bob Restrepo: Our personal auto has been very competitive for quite some time, but we deal with competitors with all different types of distribution systems, state-of-the-art pricing models. We’ve been able and continue to be able to compete very effectively. We don’t expect – I mean once our agency termination settles down, we expect to have modest. By modest, I mean low single digit growth in the personalized business of going forward. We do expect our policy count loss to stabilize and when we look at our retention levels netting out the impact of the agency management actions, they are consistent with what we’ve traditionally enjoyed. And our new business rates aren’t what they were several years ago, because of the agency management actions. We have left agents out there to produce new business. But we’re still pretty comfortable with their yield [ph] from the independent agents that we’re working with. So net-net, I think once we get back to quote, unquote normal in the personal line of business, we’ll have a normal flow of new business in what has always been a very competitive market for us.
Brett Shirreffs – Keefe, Bruyette & Woods: Okay, thanks. And then just, two quick numbers questions for Steve if I could. I was wondering if you have on hand the reserve balance for the RED book currently and then also if you could quantify that favorable catastrophe development during the quarter? Thanks.
Steve English: Sure. The net reserve balance on the RED business is a $103 million. And in terms of the catastrophe, in Jessica’s comments, she mentioned some favorable development in our Specialty segment. We also – we did have a bit of some adverse development that exactly washed that out. So on a net-net basis, the 2.4 points that you’re seeing in the quarter is actually the calendar quarter accident ratio as well.
Brett Shirreffs – Keefe, Bruyette & Woods: Perfect. Thank you very much.
Steve English: Yes.
Operator: (Operator Instructions) Our next question is from Paul Newsome with Sandler O’Neill. Mr. Newsome, please un-mute your phone.
Paul Newsome – Sandler O’Neill: I’ve been asking this to everybody. Do you have any thoughts on the new accounting for the insurance accounting for the FASB and the IASB going forward?
Steve English: Not that I can say publicly on the phone, Paul. I think you and I have spoken about this and as I’ve spoken to others, I do have an opinion which is that they are trying to force the property casualty model into more of a life model. And I think in their attempt to make things in their stated words clearer and more transparent, I think they are going to accomplish the opposite.
Paul Newsome – Sandler O’Neill: Thank you very much.
Operator: Our next question is from Larry Greenberg. Your line is now open.
Larry Greenberg – Janney Capital Markets: Hi, Bob. Just on your ROE objective of 10%. Can I infer from your comments on auto that, that is not changing your expectations for getting there timing-wise or magnitude?
Bob Restrepo: No, it’s not. No, our 10% ROE remains our goal and we’ve got some work to do on the personal auto, which is really the primary laggard. We’re kind of at – we’re slightly better than where we expected from a standard commercial line standpoint. We’re extremely pleased with our Specialty insurance results, Workers’ Compensation in particular as exceeding our expectations. Property is exceeding our expectations, but that can bounce around on a year-to-year basis. So the unusually good results we had this year were not necessarily anticipating 10%. But we clearly have to fix our personal auto problem to be able to achieve our 10% ROE and we have confidence that we will. It’s a line that – it’s a not a lot of mystery in the line. We know it well and we know what our problems are and we’re addressing them.
Larry Greenberg – Janney Capital Markets: But if I went back a year ago when you stated an objective, where we are today recognizing the good and the bad that. The timing of that expectation hasn’t changed or has it changed?
Bob Restrepo: It has not changed.
Larry Greenberg – Janney Capital Markets: Okay, thanks.
Operator: We have no further questions at this time.
Bob Restrepo: Well, thank you, Christy. And we want to thank all of you for participating in our conference call and for your continued interest in and support State Auto Financial Corporation. We look forward to speaking with you again on our fourth quarter call, which is currently scheduled for February 20, 2014. Thank you and everyone have a great day.